Operator: Greetings and welcome to the ABM Industries Second Quarter 2018 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Susie Choi, Investor and Media Relations for ABM Industries. Thank you. You may begin.
Susie Choi: Thank you, all, for joining us this morning. With us today are Scott Salmirs, our President and Chief Executive Officer; and Anthony Scaglione, Executive Vice President and Chief Financial Officer. We issued our press release yesterday afternoon announcing our second quarter fiscal 2018 financial results. A copy of this release and an accompanying slide presentation can be found on our corporate website. Before we begin, I would like to remind you that our call and presentation today contain predictions, estimates, and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in a slide that accompanies our presentation. Additionally, today’s accompanying presentation includes a historical segment recap for fiscal 2017 to reflect the new business segments we introduced earlier this year as a result of our acquisition of GCA. During the course of this call, certain non-GAAP financial information will be presented as well. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the company’s website under the Investor tab. I would now like to turn the call over to Scott.
Scott Salmirs: Thank you, Susie, and good morning, everyone. I'm sure you’ve all had an opportunity to read our earnings release. I'd like to cover the quarter, give you an update on the GCA integration, and discuss our outlook for the remainder of the year. I'm pleased with our results for the second quarter. We have strong top line organic growth of 4.5% driven by new business wins and expansions with key clients, all anchored by steady retention. Our sales initiatives are gaining traction, and we are showing good momentum in attracting and hiring sales talent. So far this year, we've onboarded 62 new salespeople, and we continue to train and manage our teams towards a higher bar for performance so we can achieve profitable growth. And I think it's important to add that it's not just our salespeople that bring in our new business. Our operational team brings in a good portion of our new growth as well. They do this through their strong customer relationships, and they too are becoming more sales-focused as we continued with our broad-based sales initiatives and messaging. To give you a flavor of some of our progress, for the first six months of our fiscal year, we were awarded $460 million of annualized bookings. We are fortunate to be growing off a larger base of business this year with GCA and this demonstrates our ability to integrate sales and operations and remain focused on growth, even during a time when we were adding 40,000 new employees and hundreds of clients. Our GAAP EPS on a continuing basis for the quarter was $0.38 or $0.47 on an adjusted basis. Our enterprise performance for the quarter and for the first half of the year has essentially been as expected driven by B&I which is our largest segment. While we did begin to see the acceleration of labor pressures as the quarter progressed notably in our lower wage geographies, B&I was more insulated than our other industry groups as they have a larger proportion of higher paid union labor and their pool has more density from its branch network. Cash flow is a key metric for the enterprise and I'm pleased that we generated more than $80 million in free cash flow this quarter. This brings us above $100 million year-to-date. While Anthony will discuss cash flow in detail during his prepared remarks, I'm delighted with our first half collection efforts, and I want to thank our field and shared services teams for working together so diligently on this important aspect of our business. Turning to GCA, the integration is going very well with the majority of cost synergies ahead of plan and trending to the high end of our projected range. In fact, we are now targeting the $30 million annualized mark with approximately $15 million to $17 million to be realized in the year. We also continue to make strides in consolidating our GCA and ABM back office systems and processes with a plan that will culminate at the end of fiscal 2019. Our new integrated organizational structure is designed and we've solidified our team. I'm delighted that everyone we have asked to stay onboard has accepted his or her role including our new CIO, and our retention rate on the GCA legacy business is trending in the low to mid-90% range and we've had some great new notable wins across our different services. We were awarded a custodial assignment with San Jacinto College in East Harris County, Texas, an energy performance contract with Brooks County Schools headquartered in Quitman, Georgia, and events support services for the 11 sports facilities at Oklahoma State University, where we also perform janitorial work. I have to say there’s great energy and enthusiasm internally and externally around the potential for Education group. As we continue to elevate the ABM brand and invest in this business, we believe that we will be the clear market choice as outsourcing accelerates and sector churn occurs over time. Let me now move to the full-year outlook. Although many parts of our business and our 2020 vision are tracking to our long-term plans, we are seeing pressure on the labor front. I'd like to discuss the broader labor environment and the burdens we are facing as a result of today's unique macroeconomic environment. As one of the nation's largest employers of both skilled and non-skilled labor, in the past, we have certainly experience cycles of labor shortages, wage growth, and greater employment demand over the years. However, what we are seeing today is an unprecedented level of both low unemployment and low underemployed across the country. The U.S. economy is operating at an unemployment rate of 3.8%, one of the lowest points in history. While the macroeconomic environment will bode well for us long term as we expand with our customers and grow our platform, the continued labor shortage is leading to higher costs. This is impacting us on several fronts. Generally speaking, we are experiencing a lower availability of labor supply with a lower number of qualified applicants per job opening. Certain of our industry groups feel a greater impact as they have a more rigorous application process. For example, the Aviation segment has a TSA process that can take up to eight weeks to conclude from application to background check. The Education segment also has stricter standards and requirements for potential employees. These types of protracted processes in the current environment make it more challenging to on-board employees. And employee retention is also more problematic in today's environment as people have more choices as wages grow and work becomes easier to find in or outside our industry. Now, make no mistake. We are not sitting idly by to wait for the labor trends to pass. We have initiated several mitigation strategies to offset the majority of the impact we are experiencing. Among them, we have deployed digital applications and background checks through our implementation of Jobaline and TalentWise. This makes it easier to get through the application process and speeds up the background check waiting period. We have also instituted referral programs and social media outreach to attract applicants. We have hired more recruiters to specifically target more volatile geographic markets and target industry groups that are particularly susceptible to labor challenges such as aviation and education and there are more issues on the horizon. Given the nature of our service business, both direct and indirect costs comprise approximately 90% of our revenue. On a full-year basis, we anticipated and planned for a level of labor and labor-related cost pressures in fiscal 2018. However, we are currently seeing an additional 60 basis points of those pressures above our original expectation. Given the macroeconomic nature of all these cyclical trends, we cannot predict when normalization will occur and keep in mind our pricing is not dynamic. We take cost increases into account when we consider pricing as we cycle through our contracts, but it’s not elastic. In certain segments, we feel really good about where we stand and our ability to gain share has never been better. In other sectors, the wage and labor markets take longer to cycle through. In the meantime, the operational efficiencies and improvements we have been pursuing as part of our 2020 vision have and will continue to offset a portion of these rising costs. We have instituted rigorous weekly operating review protocols to assess an action, labor initiatives for new and existing assignments. We are working with our suppliers on procurement efforts to further control supply course. We’re also proactively identifying those clients where we can pursue price increases in the near term while not jeopardizing long-term relationships. We have also recently instituted several enterprise-wide cost containment measures to reflect our current environment. Even with all of these initiatives in place, we cannot fully overcome the increase in our largest cost input which is labor. Therefore, we are revising our fiscal 2018 outlook to $1.85 to $1.95 per share on an adjusted basis to reflect a portion of the 60 basis point challenge that we are facing. Most importantly, we are managing our business for the long term and not making short term decisions that will jeopardize our path. We continue to invest in technology and process improvement as a means to become the most cost efficient in our delivery of services and distinguish ourselves as the partner of choice to our clients. We believe our size and scale gives us a competitive advantage over smaller players who are experiencing the same pressures and may find it more difficult to navigate this cycle. This should translate to additional market share over time. We also believe the current macro environment will give rise to a new focus on outsourcing and there is the potential for the share market to grow in size. The core fundamentals of our 2020 Vision remain intact and the acquisition of GCA has further strengthened our long term financial and operational position in the marketplace. Our business model remains resilient and we have the compelling value proposition to capitalize on our core strengths and build out our long-term future. With that, I'll turn the call over to Anthony.
Anthony Scaglione: Good morning, everyone. Before I dive into the details of today's call, I'd like to preface my review by reminding everyone that our overall results for the quarter reflect higher amortization, interest expense, and share count dilution resulting from our September 2017 acquisition of GCA Services Group. On a segment basis, GCA impacted all of our industry groups except for Technical Solutions. In addition, our second quarter results do not include the contribution from our Government Services business, which we sold in May 2017. Turning to results. Total revenues for the quarter were $1.6 billion, up 20.6% versus last year, driven by GZA revenues of roughly $256 million and good organic growth within the Business & Industry and Aviation segments. Specifically, our 4.5% organic growth was driven by low to mid 90% retention and realized revenue stemming from expansions and new business which we measure by tracking new sales throughout the year. For the first half of fiscal year, we had approximately $460 million in annualized new bookings which is comprised of new business and expansions. In addition, approximately $17 million of our growth was due to higher management reimbursement of revenue primarily in our Business & Industry and Aviation segments. On a GAAP basis, our income from continuing operations was $25.4 million or $0.38 per diluted share versus $31.6 million or $0.56 per diluted share last year. The reduction of our federal corporate income tax positively impacted the quarter by approximately $4 million or $0.06 per share. Our results also reflect the following items and are predominantly related to our acquisition of GCA. Higher amortization of approximately $11 million which is embedded within each impacted reportable segment, higher interest expense of $10.8 million, and an increase in weighted average shares outstanding on a diluted basis to $66.2 million. Excluding the impact of segment related amortization, our overall operational results benefited from GCA related revenue predominantly within the Education, Technology & Manufacturing, and Business & Industry segments. On an adjusted basis, income from continuing operations for the quarter was $31.2 million or $0.47 per diluted share. During the quarter, we had adjusted EBITDA of $83 million at a margin rate of 5.3% compared to 4.6% last year. Prior to moving to segments and providing a brief summary for each, I wanted to spend a few minutes on the direct labor and labor-related developments we have seen. The labor pressures that Scott discussed began to pick up as we progressed through the quarter. For the first half, we were able to overcome most of the pressures through proactive expense management as well as a few one-time items have benefited the quarter. A reversal of approximately $1.4 million of certain incentive compensation accruals due to our revised full year forecast and a shift in timing related to IT projects to the second half of this year. Under direct labor and labor related cost front, we saw approximately 40 basis point of pressure in the first half mostly weighted in the second quarter and we anticipate the back half without mitigation to be further impacted by an additional 80 basis points. Given the cost mitigation and other measures, we anticipate the full year impact to be roughly 20 basis points. Now, let me dive into the segment results for the quarter which are described on slide 12 of today's presentation. As discussed last quarter, as a result the GCA acquisition and the remapping of overhead expenses including allocations and additional amortization, our operating segment results will not be easily comparable on a year-over-year basis. To help you assess our operating performance during the first year, we have provided full year operating margin guidance for the first fiscal year which we have updated and can be found in today's presentation. Revenues in our largest segment, B&I, grew 13.4% to $723 million versus last year driven by $43 million of additional revenue related to GCA including $20 million of vehicle services work. As expected, B&I exhibited strong organic growth due to large UK janitorial win from last year in addition to expansions with key clients. Operating profit for the quarter was $43.5 million from a margin of 6% including approximately $2 million of onetime items. While labor challenges are present in certain areas, this segment has a high proportion of unionized labor where wage rates are higher and turnover is lower than in other industry groups. In addition, B&I is our most mature business and our branch network and employee density allows us to better manage through labor cycles as employees can move within sites and the employee base is larger. We have also been successful in gaining some pricing increases with our customers including our vehicle services group although we continue to evaluate the long-term potential and strategic path for the smaller book of business. Overall, we were pleased with B&I’s results and full year outlook. Excluding GCA-related amortization, the operating margin for total B&I was 6.3% this quarter and we continue to expect to end the year with operating margins in the low 5% range. Aviation reported revenues of $245.4 million, an increase of 5.8% which was primarily related to organic growth within their parking and transportation service line. GCA had a relatively small impact of approximately $4 million in this segment. Operating profit came in at $5.1 million for margin a 2.1%. The year-over-year decline was partially due to a 70% increase in management reimbursement revenue which is pass-through revenue as well as more acute labor and pricing pressures that are more inherent in this industry. To be more specific, due to the concentrated client base and rigorous onboarding and TSA clearance protocol, employee onboarding is more complex than in some of our other industry groups. Therefore, during a period of acute labor cost pressures, mitigation strategies take longer and pricing power, generally speaking, with this customer base is more difficult. Our outlook anticipates the 3% operating margin for the full year, and we continue to look at cost leverage to improve on this going forward. In addition, while we continue to seem market opportunities in the segment, we are becoming more discerning in the types of contracts we are pursuing. Our newest segment, Technology & Manufacturing, achieved $228 million of revenue for the quarter, growing 41% versus last year largely due to $61 million of GCA-related revenue. Organic growth was driven by janitorial service line expansions with key clients. Operating profit came in at $16 million for the quarter for a margin of 7%. Excluding GCA-related amortization, the operating profit margin would have been 8.2%. However, for the full year, we now expect operating margins in the low 7% range, primarily as a result of projected incremental labor pressures we are seeing due to more remote account locations and lack of employee density for some of our accounts, which inhibit our ability to attract labor at contractual cost. While we see labor challenges in this segment, we are encouraged by the sales and operational foundation we are developing. We are being viewed as the outsourcing firm of choice by existing and prospective clients which should lead to above average growth over time and at better operating margin in most instances. Turning to Education. Revenues is $206 million for the quarter, benefitting from $142 million GCA business. From a top line perspective, revenue was marginally behind our projections. However, just as we stated in the first quarter, due to seasonality in the K through 12 sector, we expect growth to accelerate in the second half of the year as assignments are generally awarded in the May through July time frame and overall as schools prepare for the new academic year. Operating profit for the quarter was $10.6 million for a margin of 5.1%. Excluding the impacts of amortization, operating margins were 8.3% as this segment saw the largest impact from GCA. We expect to end the year in the low 5% margin range including amortization. This segment is proportionally more affected by labor pressures due to a geographic concentration in low wage areas where employee turnover is more prevalent. Healthcare revenues of $70 million for the quarter including $8 million in contribution from GCA. Excluding GCA amortization, operating margins were 4.1% for the quarter and 3.8% on a reported basis. We expect the operating margin in the low 4% range for the full year. Finally, Technical Solutions reported revenues of $109 million, down 2.1% for the quarter. As we anticipated based on the pace of bookings and the pipeline we saw at the end of last year and the beginning of this year, our project and revenue churn will begin to normalize as we head into the second half of 2018. We expect full year revenue to be up on a year-over-year basis due to the expected project churn over the next six months. In addition, our prospects and backlog pipeline continues to remain robust and we are confident that our full year operating profit and margin will continue to trend in line with historical amounts. For the quarter, operating margins were 7% compared to 9% last year, reflecting our continued investment in the U.S. sales people support as well as certain underperformance by our UK technical business. However, with our back half growth, we expect to hold margins and reiterate our high 8% operating margin target for the year. Turning to cash and liquidity. Cash flow from operations was roughly $100 million for Q2 including the contribution from GCA, as well as several strategies that contributed to this performance. At the end of last fiscal year, we began instituting prophecies to better align our enterprise shared service billings and collection functions with our field operations. While we are still in the very early stages, we have begun to address some of the pain points of our process as we migrated accounting centers from across the country over the past 24 months. As a result, we started to see a gradual improvement in our working capital, driving down our DSOs as we continue to integrate our business units and GCA. In addition, as part of our interest rate risk management strategy, we terminated swaps with a fair value of approximately $26 million and subsequently enter into new swaps with a notional value of $440 million and with maturity dates more closely aligned with the company's repayment strategy. And we continue to proactively manage our fixed to floating rate profile. Finally, with our discipline on working capital, our free cash flow should gradually improve over the next 12 to 18 months as we continue to drive our back office efficiencies. For fiscal 2018, due to the aforementioned developments and assuming the continuation of our current DSO trend, we now expect to end the year with free cash flow of approximately $150 million. We ended the quarter with total debt, including standby letters of credit of roughly $1.3 billion and a bank-adjusted leverage ratio 3.8 times. We are also updating our estimate for interest expense. Given the accelerated rise in interest rate and the outlook for the remainder of the year, we are increasing our interest expense outlook to $55 million to $58 million. Please note, the rebalancing of our swaps to provide a nominal reduction in our interest rate expense in fiscal 2018 and our repositioning should be net positive over the remaining life of our credit agreements. During the quarter, we paid a quarterly cash dividend of $0.175 per common share for a total distribution of approximately $11.5 million to shareholders. Today, I'm pleased to report our board has approved our 209th consecutive quarterly cash dividend. Before moving on to our guidance outlook, I want to take a moment to acknowledge the efforts of our teams in converging operationally, financially, and technologically with the integration of GCA. During fiscal 2018, we continue to operate on two ERP systems, and we have begun the migration process to a centralized back office platform, which I expect to be completed in fiscal 2019. This year we are taking a practical approach in implementing our internal control framework, processes and systems as we acclimate GCA to our respective practices and move to the longer-term IP framework. Ultimately, this will strengthen our combined entity and lead to further efficiencies with our end-to-end process. Now let me discuss our revised guidance outlook. As described in our press release, we are updating GAAP and non-GAAP guidance to reflect our outlook for higher labor costs for the remainder of the year. At this time, we do not see signs that these pressures will abate in the near-term. As a result, we now expect GAAP income from continuing operations to be in the range of $1.73 to $1.83, and on an adjusted basis, $1.85 to $1.95 per diluted share. In addition to all the operating strategies we have initiated, we have instituted certain cost containment measures to help alleviate some of the labor headwinds we are facing. As we progress through the remainder of this year and begin the planning process for fiscal 2019, we will continue to look at areas to contain costs and become more efficient. Until we progress through this year, it's too early to tell what effect labor costs could have for full year 2019 and beyond. At current trends, one could expect a 20 basis point headwind, which is a minimum of 40 basis points annualize to be partially mitigated by the steps we have taken implementing our labor management strategies and cycling through contract renegotiations and the full year benefit of synergies. Our guidance continues to assume a tax rate between 28% to 30% for fiscal 2018. This rate excludes discrete tax items such as the 2018 Work Opportunity Tax Credit and the tax impact of stock-based awards also referred to as FAS 123R which will be a little more than $10 million in discrete tax items for the full year as we disclosed last quarter. Finally, as Scott discussed, our GCA integration is proceeding as planned, and we continue to expect to achieve synergies of approximately $30 million on a run rate basis and we are projected to end the year at a realized rate of approximately $15 million to $17 million. With that, operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Gallo with C.L. King. Please proceed with your question.
Michael Gallo: I might have missed it but the organic growth of 4.5% in the quarter, was that a function of some of these issues allowing you to gain share or is there something unusual that drove that?
Scott Salmirs: Yes, there was nothing unusual that drove that as part of our normal business. We had a good acceleration from the TSL contract in the UK towards the end of last year but no anomalies in the business. This is just business as usual.
Michael Gallo: But in terms of just cycling contractor assuming the labor environment is not going to improve, how long do you think it will take to kind of get to around where between the mitigating and other issues that we'll be able to start to see some of the margin progress obviously of the synergies coming through from GCA? But at what point will you actually be able to see margins progressing forward? Is that sometime next year or what would you anticipate?
Scott Salmirs: Yes. So the way we're thinking about that, Mike, is that our contracts, on average, are three-year contracts so they have normal cycle periods. So if you think about that, you kind of could take this midpoint of 18 months, right, between starting on some contracts that are coming due right now to contracts that are coming due in three years. But on top of that, we're just not waiting for the contracts to expire. There are some contracts that we're being more aggressive about going after price now. We're always in conversations with our clients through our quarterly business review process. So we're taking a very prescriptive look at all of our contracts and who we can have near-term conversations with and who – it just doesn't make sense to have conversations with right now. So I say, on a high level, kind of 12 to 18 months where we'll start seeing that pick up once the markets normalize.
Operator: Our next question comes from the line of Andy Wittmann with Robert W. Baird. Please proceed with your question.
Andy Wittmann: Anthony, some of the numbers that you're giving in your script were a little fast there. I just want to understand the quantification that you gave on some of these labor headwinds. The one I picked up was there’s 80 basis points headwind to the second half but for the full year something and something else. Can you just kind of go through that more slowly so that we can all understand a little bit better?
Anthony Scaglione: Sure, no problem. So we're facing labor and related cost pressures, and on an absolute basis, it’s roughly 60 basis points for the year. And the 80 basis points referred to in the script was for the second half. And that’s pre-mitigation efforts that we have in place, which include labor costs, speaking with our customers ensuring that we have the escalations in place as well as being more diligent from an HR onboarding standpoint to try to mitigate some of these costs. So, for the full year, our expectations right now, on a full year basis, is roughly 20 basis points.
Scott Salmirs: Net-net. Yeah.
Andy Wittmann: 20 basis points net of when – after you take mitigation efforts. So, it’s like – it was 60 basis points for the year, how do you get them to 60 basis points? What’s sort of the difference between the 60 basis points for the year and the 20 basis points for the year, the 40 basis points of mitigations to the full year?
Scott Salmirs: 40 basis points of mitigation and some of that is going to also be holding on some SG&A costs as well. So, it’s not just all labor related. We do have some mitigation efforts in our SG&A areas to help mitigate some of the pressures.
Andy Wittmann: And then the quarter then with the revised view of the year, I heard there was $1.4 million in reversal to incentive comp but there’s one other factor in there too? Can you – what was that other one that you mentioned?
Scott Salmirs: It was a client KPI. It was a reversal of effectively a rebate from a client for roughly $2 million.
Andy Wittmann: $2 million reversal and a $1.4 million pick-up on the incentive comp. Okay. And then Scott, just on the – Yeah.
Scott Salmirs: Andy, on the incentive comp, that should double for the full year given the trend, so this is just the half year impact. So, you could anticipate that being doubled for the full year.
Andy Wittmann: You'll get another maybe like $700,000 and $700,000 in the last two quarters, something like that?
Scott Salmirs: That's right.
Andy Wittmann: Then on sales force investment, Scott, I think the organic growth rate pick-up is notable here. When you look – are we seeing returns from the new hires yet or is this stuff that was kind of in the pipeline? I mean, it sounds like transportation for London was a lot of it. But are you getting the productivity out of the hires is I guess the question, and where do you think the organic growth rate can go from here?
Scott Salmirs: Yes. So with the productivity, I mean, it's mixed, right? 35% of our new hires, or I should say 35% of our total workforce in terms of sales are that what we call the rookies. The people that are anywhere from new to nine months in and they’ll typically be less productive, right? But if you think about our overall headcount, we're up 17% year-over-year and we are being really prescriptive about the bottom, the bottom portion of that and managing out. So we're really raising the bar on performance. And when you look at the overall organic rate year-to-date, we're at 3.7%. And we're optimistic that we're going to be able to maintain that range through the rest of this year. Our pipeline is really strong. We brought in $460 million of new accounts in the first half of the year, which is an incredible pace. That's up 16% from this time last year. So I think the investment in sales, I think the investment in sales tools, and just the overall messaging that's happening in the firm, I think it's really starting to gain traction. And unfortunately, we are seeing it in the numbers as well.
Andy Wittmann: And then just on the implementation of the 2020 vision and all the strategies that you're now taking down to the field level, you've talked about, I think in the script here, going to the centralized shared services center for a lot of those things. Sounds like you're making some progress on your billing. I know that's a big hurdle there. Through all of these changes, I guess the two constituencies that I wanted to hear about were your employees and your employee turnover that you've had. I think you changed a lot of people's job descriptions, in other words. I want to understand how that's affected the franchise. Also want to understand, if these things – if the slower billings, or the more challenging billings or just the changes in billings and things like that have affected your customers and their level of happiness with you and their levels of retention that you’re able to maintain.
Scott Salmirs: So, I would look at – I think there really is a bifurcation between staff and management in the field. And from a turnover standpoint, our staff and management is much less in terms of absolute turnover versus the field. And just to give you some perspective on field turnover and what we're seeing in the marketplace, if we will look at turnover in the field back in November which is just a few short months ago, year-over-year there was no difference in turnover in the field. Right now, if you look at April's numbers we're talking about a 20% difference in turnover. So, this has happened pretty dramatically. It hasn’t affected the customers because we're - everyone in our business is in the same boat, right? I think we have a little bit of a competitive advantage here because of our scale versus our competitors. But this is not - anything that's happened here as a result of this labor environment is not translating into customer dissatisfaction or anything with our retention rate. And Shared Services is making really good progress. We just are in the early innings of standing it up and it's just – and we still have a long way to go which is exciting, right, because we see upside.
Andy Wittmann: And just as it relates to how you're talking to your customers about this, I appreciate the fact that you got three-year contracts. Some of them – given that they are – I mean, I guess technically most of your contracts are cancellable on 30, 60, 90 days something like that. So, that does give you the opportunity to have a conversation earlier. In those initial conversations where you've had them or you're trying to recover some of the labor costs, how have those been met so far and what source of optimism or lack of optimism have you gained from those conversations so far?
Scott Salmirs: So I think it's mixed, right, and it depends on the client and the situation. There are some accounts that are impacted but are still really profitable, right. So you don't want to get into a situation where you're going to force a bid if you're still over market, right, even though you're having labor pressures. And then there are other conversations where we can be a little bit more forceful because it's putting us in a position where you never want to say you're indifferent to something going out to bid, but you're willing to roll the dice on that because you're seeing those kinds of pressure. So I think the good news for us is that when we have these conversations, everybody is in the same boat. I've gone around and I've talked to global heads of some of the most renowned facilities, people that are working for the biggest firms and they're having the same problems with their own staff. So when we have these conversations, they get it, and they're trying to work with us. But like everyone else, Andy, like they have their budgets, they have their procurement process. So it's not an uncomplicated issue, but the first piece of this which is the important piece is they’re aligned. They understand it. So I think it's just something that we're going to have to make our way through client by client where it makes sense.
Andy Wittmann: I might have a couple of more, but I'll yield the floor for now and maybe jump back in later. Thank you.
Operator: Our next question comes from the line of Marc Riddick with Sidoti & Company. Please proceed with your question.
Marc Riddick: A couple of things I wanted to start with. I guess if we're looking at the $0.15 change in guidance. How do you see that flowing as far as the last two quarters of the year? Are we looking at about an equal mix there or is there any seasonality that we should be aware of?
Anthony Scaglione: There's no particular seasonality you should be aware of. I think we don't break out the quarters but if you look at it from a pure where operations contribution, it's always heavily weighted in Q4. So, I would disproportionately weigh the $0.15 in the fourth quarter.
Marc Riddick: And then going back a little bit touch – to follow up on the pricing conversations having – to be had with customers going forward. And I can understand that it'll be a various range and depending on the type of customer. But ballpark, how should we be thinking about the types of price increases that you're looking to secure in order to not only mitigate the labor cost pressures but also to get a nice return going forward?
Scott Salmirs: So, I think it's really – the way I would look at it is, it's affected by geography, right? So, in the kind of the lower waged geography, the nonunion geography, it could be more pressured, right, and there's different conversations to be had versus a union environment. And then we also look by contract type. So, on the cost plus contracts, it's easier to have that conversation and pass through, although there are still some guardrails on cost plus contracts. But for the most part, that's 25% of our business and again easier pass through. On the fixed price stuff, which is about half of our contract base, that's where it ends up being a more protracted conversation. And it does depend on geography and industry group type. But what we do is we look at our increased cost base. We look at it based on local statistics that we can back it up so we can have some data. We just don't go to clients and say, hey, our costs are going up. We’re striving to be a data-driven company, so we have a whole playbook on how we have these conversations with clients. And a lot of them do start when we have our quarterly business review. So, this won't be - when we're talking to clients now about price increases, this won't be the first time they're hearing from us, right? There's a cadence to this and you don't just show up and start talking about it. You make it as part of a process. And thankfully, we've baked in labor cost increases in our guidance for – original guidance for 2018 so we were ahead of this and we feel like we're on good pace to have these conversations with clients. But I just want to make sure I'm clear. This does take time and there's just again, a natural cadence to this.
Marc Riddick: And the last one for me is I was wondering about – there was a commentary around the, I guess, getting recruiters involved and what have you. I just wonder if could dig in a little bit more of that and where we might see that and maybe what segments we might see that usage? Thank you.
Scott Salmirs: So, one of the things that we've been hiring is more recruiters oddly enough, right, hiring recruiters. And when we've done it, it's just we're not necessarily just peanut buttering at all over the portfolio. We're looking at those geographies that are more pressured in the industry groups like we talked about in the prepared remarks with Aviation and Education. They tend to have higher turnover because of the dynamics of those markets. So that's where we'll embed more recruiters. So, we're being very strategic about where we place these recruiters because that's key because you want to get people into the funnel and you want to get them through the background check. We background check all of our employees. It's a real process, right? So, we're just putting more kind of feet on the street right now to increase that pipeline.
Operator: Thank you. At this time, I'll turn the floor back to management for any final comments.
Scott Salmirs: I just want to say thanks to everyone and we look forward to updating you in the third quarter and have a great summer. Thank you.